Operator: Greetings, ladies and gentlemen and welcome to Colony Capital’s First Quarter 2021 Earnings Conference Call. [Operator Instructions] It is now my pleasure to introduce your host, Severin White, Investor Relations. Thank you. You may begin.
Severin White: Good morning, everyone and welcome to Colony Capital’s first quarter 2021 earnings conference call. Speaking on the call today from the company is Marc Ganzi, our President and CEO and Jacky Wu, our CFO. Before I turn the call over to them, I will quickly cover the Safe Harbor. Some of the statements that we make today regarding our business, operations and financial performance, including the effect of the COVID-19 pandemic on those areas maybe considered forward-looking and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. All information discussed on this call is as of today, May 6, 2021 and Colony Capital does not intend and undertakes no duty to update for future events or circumstances. For more information, please refer to the risk factors discussed in our most recent Form 10-K filed with the SEC in connection and in our Form 10-Q for the quarter ended March 31, 2021. With that, I will turn the call over to Marc Ganzi, our President and CEO. Marc?
Marc Ganzi: Thanks, Severin. I would like to start by thanking everyone for their interest and attention today. It’s a quick turnaround from 4Q and we are happy to be back so soon with all of you. Today, we are going to cover three primary topics that you will see as part of our quarterly cadence. First, I will walk you through the high level Q1 highlights and some of the great progress we are already making on our 2021 goals. I will then turn it over to my partner and CFO, Jacky Wu, who will cover our financial results. Finally, I will finish today by walking you through our executing the Digital Colony playbook section. In this quarter, we will cover our digital operating businesses, where we are seeing solid growth. So, let’s get started. Finish the mission, yes, this is our new rallying cry for 2021 and it’s centered around these three primary goals for the company. First, tangible progress in harvesting our legacy Colony assets; second, we will continue to put more high quality digital assets into our funds and on our balance sheet; lastly, we will continue to grow our high return digital investment management franchise. This is the cookbook for 2021. First, let’s start with progress on legacy monetizations. And we are off to a fast start in 2021, continuing our progress and velocity from 2023. Three key strategic monetizations announced and/or closed just in the last few months. That takes us all the way to 70% rotated, ahead of the 67% rotation we targeted per year in 2021. Thanks in particular to the CLNC internalization, which was also ahead of schedule. Speaking of that, I want to talk about the agreement we reached with CLNC internalizing their management contract, which closed earlier this week, freeing them up to continue to execute on their new strategic focus. It’s a much simpler, easier to understand CLNC that’s focused on originating first mortgages against multi-family real estate in growing parts of the U.S. It’s cleaner, more focused, just like the playbook we have been executing for over a year now at Colony Capital. The highly focused and independent version of CLNC puts shareholders first, which will in turn create more shareholder value for our stake and Colony shareholders. We collected a little over $100 million from this transaction. And we remain a significant owner and partner with our holdings worth a little over $400 million today. As Mike Mazzei and his team execute this year, we think that will trend higher towards book value ultimately. Next, let’s talk about our hotel portfolio. The deal closed before quarter end and we ended up generating positive net equity for our shareholders as we had committed to and it reduced debt balances by over $2.5 billion in terms of Colony share of that debt. This was a huge lift by our entire team. I want to give special thanks and congratulations to David Schwarz and the rest of the lodging team here at Colony Capital. I also want to thank Mahmood Khimji at Highgate and Tom Wagner at Cerberus for being great partners and getting this closed on time. Finally, the combination of the sale of the THL portfolio, as part of that hospitality portfolio and the disposition of our ownership in two Irish commercial real estate assets for $100 million in net proceeds, further reduced our total legacy OE&D asset base by over $800 million. I am really excited about the progress we are making here. This is seminal to finishing the mission. And we generated around $250 million in proceeds that we can use to fuel investments in digital. Again, we are ahead of the forecast and the roadmap that we promised to you. Next page. Investing in digital is our second key focus area this year and we have been busy deploying out of DCP II, our new fund, the follow-on flagship equity fund to DCP I, which is now fully deployed. We have got 4 new investments or platforms that we have announced so far across the group. This will be $3 billion to $4 billion of commitments to acquire and invest in the growth of these platforms. So, let’s talk a little bit about them. Here in the United States, we are in the process of acquiring Boingo and to take private transaction. This remains subject to shareholder approval. So, I won’t go too much into detail there. Other than to tell you this dovetails with our conviction around 5G, investing in our carrier partners to deploy next generation networks here in the United States. In Europe, we were a cornerstone investor in Vodafone spinout of its European towerco assets, committing €500 million in support of their public listing. Vodafone has been a great partner to us and we are excited to help them unlock and highlight the value embedded in their tower assets. I am looking forward to working with them as they execute a value-add BTS program, coupled with an aggressive lease-up strategy that is very consistent with projects we have successfully executed over the last three decades. I am very excited about the prospects of this tower portfolio. And I know, Vivek and his team will unlock these assets as they are now truly independent and open for co-location just in time for 5G across Europe. The Vantage footprint and locations are truly unique and the kind of assets that possess the strategic mode that we look for, in acquiring tower portfolios and other digital infrastructure assets. Next up in Asia, we have launched two platforms: first, a cell tower business centered in Southeast Asia; and second, a hyperscale data center platform across the Asiana region. Both of these investments leverage our growing presence in the region. We are capitalizing on strong demand growth for their services and are launched in partnership with strong local management teams who have successfully executed on similar build up strategies in the past. This is classic Digital Colony playbook. We partner with the best management teams who have successfully executed on similar build of strategies, sharing our key learnings, our access to capital, balance sheet transformation, unique customer relationships and strategic M&A capabilities. It’s a winning formula that’s worked in the past. And we are confident it will work in the future. One of the key areas here is these deals were all proprietary to Digital Colony. We can see these deals, we negotiated them and we executed them on behalf of our investors. This is the hallmark of Digital Colony. And when you look at our pipeline you will see more of the same proprietary ideas, deals and execution. In fact, we have a pipeline of over 50 new opportunities and ideas in digital infrastructure across our 4 core operating regions of North America, Europe, Asia and Latin America. Here is what’s even better. We have the capital to deploy and execute on these new ideas. It’s a great combination. And we are all excited about these new investments as well as the prospects for future platforms and accretive bolt-ons that come along with it. Next page. The final ingredient in our finish the mission mantra centers around our proven capability of growing our digital IM franchise by raising additional capital from our investment partners. In the first quarter, we continue to have success here, raising over $830 million across various strategies, principally in our DCP II flagship fund. This, coupled with our very successful co-investment program, in our new IM product launches, make our digital IM platform very unique, focused and differentiated. I would tell you that fundraising conditions remain very strong and our team has never been more active on a global basis. Candidly, we are all looking forward to getting back out on the road this summer, as investors want to connect in person and we remain on track to meet or beat our targets for the year, where we have guided you to 30% year-over-year growth, a metric that we have historically beaten. Next page. Before we move on to the financial section, I want to take a step back and recall where we were a year ago at our last annual meeting and some of the amazing progress we have made just in the last 12 months. These changes fall into four broad categories: leadership, governance, ESG, and most importantly, alignment. Leadership is a big one. We have completely rotated the C-suite at Colony with Jacky and me taking over formerly at the end of June last year. It’s been an incredible amount of work, but very rewarding and our promises made promises kept approach has started to resonate with the investment community, along with our commitment to transparency, and under-promising and over-delivering for you our shareholders. Second, governance, when we look back, it’s been a wholesale change in our board composition, which I will talk a little bit more in the next slide. But the key here is a more focused board, a more diverse board and a more digital board. Next up is ESG. And this is very personal for me as most of you have learned. ESG is something we have been committed to for a number of years as an organization, particularly at Digital Colony. And this is showing through as we become one organization. I have recently committed to an industry-leading net-zero 2030 goal that’s centered around reducing, resourcing and removing greenhouse gas emissions from our company and at our portfolio companies. It’s imperative we start making a real difference here. And we have set up incentives across the organization to make those priorities clear. The commitment of doing better extends beyond the environment and to our community. We are a talent-driven business. As most of you have heard me say before, people create the alpha, not the assets. So, developing opportunities for all people, starting with education and creating pathways for success is how we have chosen to focus our time and our energy. As corporate leaders, we all must do our part and create equal opportunity for everyone, irrespective of race or gender. The new framework I have employed with the help of my incredible DEI committee, led by Rommel Marseille does exactly this. Today, at Colony, we have aligned promotions, renumeration and career advancement on an equal basis. Everyone at the company can have an opportunity to advance irrespective of titles or their backgrounds. Finally, alignment. With our shareholders and limited partners, this is a critical ingredient to our success. We have made significant personal investments across all of our new digital investment management products and funds. So, we are aligned. When we succeed, you succeed. As we continue to improve our compensation frameworks, the metrics we build them around are designed to match shareholder and employee outcomes. This is really key to all of our future successes. Next page. I want to do a little more of a deep dive on governance in particular. Given we have just finished proxy season I am pleased to say we’ve received a lot of terrific feedback on all of the changes we have been making at Colony Capital. As you can see, the Board is now 50% digital, catching up to our fast rotation around our AUM, while still retaining strong capital markets expertise that has long been the hallmark of Colony Capital. At the same time, it’s more concentrated. We are down to 10 board members, which facilitates efficient decision-making, which is to the benefit of all Colony shareholders. It’s not just more concentrated, it’s really a refresh board. 50% of our members are brand new in the last 12 months, capped off our most recent changes, with Nancy Curtin, our lead Independent Director agreeing to step into the role of board chair. I am really proud to be Nancy’s partner and I couldn’t think of a better independent board chair than Nancy Curtain, who has a three decade track record in investment management. Also, Sháka Rasheed, Sháka is a rising star at Microsoft. He recently has been appointed to our board and I am really looking forward to working with him as well as he has deep experience in cloud computing. The final key here is the board with more diverse experiences and backgrounds. We know that diversity leads to a more robust and thoughtful exploration of different perspectives and ultimately better decisions that once again, benefit all of our stakeholders. We are really proud of all the work that has gone into making these changes. And I am deeply appreciative of our board’s commitment to constantly improving and to helping Colony elevate to a leadership position in these important matters. With that, I would like to turn it over to my partner, Jacky Wu to review our financial results. Jacky?
Jacky Wu: Thank you, Marc and good morning everyone. As a reminder, in addition to the release of our first quarter earnings, we filed a supplemental financial report this morning, which is available within the shareholder section of our website. Starting with our first quarter results on Page 12, the company has continued to make steady progress in this digital transformation. Digital AUM increased to 69% of total AUM at the end of the first quarter and increased to 70% of total AUM as of today, including the CLNC management contract internalization transaction that occurred after the end of the quarter. For the first quarter, reported total consolidated revenues were $316 million, which represents a 45% increase from the same period last year. Adjusted EBITDA was $56 million on a pro rata basis, which represents a 56% increase from the same period last year primarily as a result of the company scaling our core digital segments, which can be seen at the bottom of the page. I will walk through this in more detail later in the presentation. GAAP net loss attributable to common stockholders was $265 million or $0.56 per share. This net loss is primarily due to the losses in our legacy non-digital businesses that we now classify as discontinued operations. Total company core FFO was $4 million, with the increases from prior periods driven by outperformance within the digital segment and lower corporate expenses. Note that, beginning in the first quarter, we have moved OE&D and the CLNC investment management contract to discontinued operations, which would have contributed an additional $10 million to core FFO without this change. During the first quarter, we returned net equity proceeds of $96 million from legacy asset monetization and $302 million year-to-date, including transactions that closed after the end of the quarter. These legacy monetizations included $104 million from the sale of Dublin office properties, a $102 million from internalization of CLNC’s management contract, and $67 million from the sale of the hospitality portfolio. This is already more than halfway towards our 2021 full year guidance of $400 million to $600 million. Moving to the next page, consolidated digital revenues increased to $219 million, a 44% increase from last quarter driven by the company’s increased investment in DataBank for the acquisition of zColo and new management fees from the successful first closing of DCP II. Looking at the right side of the page, consolidated digital fee-related earnings and adjusted EBITDA increased to $96 million during the first quarter, which is a 36% increase sequentially. On Page 14, we provide an update on the corporate cost savings plan announced in the first quarter of 2020. Since initiation of the plan, the company has outperformed our original $40 million cost savings through various initiatives, including the reduction of almost 50% of the company’s non-digital workforce and right-sizing of the company’s office footprint reducing from 22 offices at the end of 2019 to 11 offices today. As part of the digital transformation, the company has completed strategic divestitures and undergone cost rationalization efforts that significantly decreased G&A to operate more efficiently. G&A savings related to the legacy non-digital business was partially offset by additional investments into our digital platform in order to support future and sustained growth for the near and long-term. We continue to expect the total company cash G&A of $100 million to $120 million after the digital transformation is complete. And through the first quarter, we are ahead of the plan at approximately $150 million of cash G&A from continuing operations, which is what we had previously targeted by the end of 2021. Turning to Page 15, we have seen continued growth in investment management and operating segments. Our annualized digital fee revenues increased from $76 million to $124 million and digital FRE has increased from $40 million to $62 million, accounting for a full year of fees from the $4.2 billion first closing of DCP II. The strong growth in digital operating segment revenues and earnings are the result of our continued rotation of the company’s balance sheet, with Vantage Stabilized Data Centers in July 2020 and zColo in December 2020. We continue to grow digital revenues and earnings through our rotation of the company’s balance sheet into high-quality digital assets. Moving to Slide 16, the company is in a strong position to meet or exceed our original 2021 guidance for the key drivers of our digital transformation. We are targeting digital management fee revenues of $140 million to $150 million in 2021 and digital fee-related earnings of $80 million to $85 million. These are driven by our anticipated $3.5 billion to $4 billion of capital raised throughout 2021, including additional fundraising in DCP II. For our digital operating segment, as of now, we are continuing to target $125 million to $135 million of revenues and $53 million to $58 million of EBITDA in 2021 driven by organic growth and bolt-on acquisitions on our existing investments. It is important to note that this guidance excludes any new balance sheet investments that will be partially funded by an anticipated $400 million to $600 million of monetizations during 2021. In addition to the 2021 guidance, we are reiterating our 2023 digital operating targets that we originally laid out as part of our digital roadmap in the second quarter of 2020, with increases at the midpoint to our digital investment management ranges due to our recent successes. We are increasing our target digital fee revenues of $160 million to $200 million by 2023 and digital fee related earnings of $90 million to $110 million. This 2023 target is anticipated to be achieved through final closing of DCP II and expansion of other products in the scope of Colony’s investment offerings. In addition, we continue to expect to achieve $175 million to $225 million of digital operating EBITDA. As you can see, the company based on existing first quarter run-rate earnings is tracking well on target to meet or exceed guidance. We have a strong pipeline of potential acquisitions to rotate proceeds received from our monetization. We are very excited for the rest of 2021 as our fundraising and M&A pipeline continues to be robust and we look forward to seeing all of you at our upcoming Investor Day on June 22, where we will share additional details on our digital platform and a portfolio of companies and update our 2021 and 2023 guidance. And with that, I would like to turn it back to Marc, where he will lay out further details on our digital playbook.
Marc Ganzi: Terrific. Thanks, Jacky. We are really excited about the progress we are making towards those important 2023 targets, which we will explore in greater detail at our Investor Day next month, which we hope you will all join us for. A key bedrock to our operating plan as we guide you towards 2023 is understanding what we are doing at digital operating. This quarter and executing the digital accounting playbook, I wanted to spend some time talking about our digital operating segment and how those businesses are doing today. As you may know, we have got two primary businesses that comprise digital operating so far. Both are really unique data center stories: first, DataBank and the Edge colo space and secondly, Vantage Stabilized Data Center portfolio, which serves our hyperscale customers. They are both large, multi-billion dollar businesses, where we maintain day-to-day operational control with minority ownership stakes that are supplemented by third-party capital, where I have told you in the past, we earned fee and carry. This is a unique structure and we really think produces great results for Colony shareholders. This slide is just a reminder of some of the key attributes of these investments. More importantly, how are they doing? For that, let’s turn to the next slide. The short answer is they are doing really well. That starts with powerful secular tailwinds that drives strong demand for their services, the significant capabilities that these businesses and their management teams possess and the solid customer relationships that they built out over a long time, all create an environment for long-term sustainable growth. All of these factors are the key ingredients for that growth, strong secular tailwinds, scalable extensible platforms, and increasing cloud demand ultimately fuels lease up, low customer churn and stable and robust revenue growth and they are growing. Last quarter, we really had a strong uplift in bookings as you can see $23 million of MMR – of MRR across DataBank and Vantage. Vantage continues to have steady success leasing up their nearly fully stabilized data centers, which are now at an astounding 95% utilization. Once they are fully leased up, the cash flow yields kick up even further. So, we are really pleased with the progress that Raul and the team are making at Vantage Stabilized Co. DataBank was really the standout performer this quarter. They grew ahead of their public peers on an organic basis and their strong booking results drove the uptick we saw there. Another interesting outcome was that the newly acquired zColo business, which as you know tripled the size of DataBank’s footprint when we closed that deal late last year. We were able to put another $145 million from our balance sheet to work in that transformative transaction for DataBank. Our business plan there baked in a few quarters of B growth as we integrated the business into DataBank and reversed its booking trends. I am pleased to say we are seeing signs of that inflection point sooner as opposed to later. zColo clients have responded well to the new customer focused approach and Raul and his team’s focus on culture is already generating tangible results as we realize cost synergies sooner from accelerated integration. We also like the trends we have seen on churn, which continue to remain industry low. That’s pretty structural advantage stabilized data center co, whose contracts are very long dated. For DataBank, it’s further testament to the team and their attention to the customers and their growing needs. So, let’s summarize, strong lease-up, low churn combined with continued investment, we are making these businesses as a recipe for continued strong growth. Built-in escalators, long weighted average contract durations add stability to that equation and underpin our steady progress in our digital operating segment. Next page. When you have got businesses with such strong underlying demand drivers run by such accomplished management teams that are performing well, it’s easy to justify continuing to deploy additional capital into those opportunities, which is just what we have been up to in our digital operating segment. First, it was Vantage SDC portfolio of our hyperscale data centers and more recently, it was supporting the growth of DataBank with the zColo acquisition late last year. These acquisitions and their continued organic growth have been transformative to our EBITDA. The number of data centers we operate and the total square footage available at those facilities has grown 3x, 3x growth in new locations, 76 total facilities now, 3x growth in rentable square footage just in 1 year, an incredible increase in the total amount of available square footage we can offer to our customers. What’s also very interesting to me is maintenance CapEx as the share of EBITDA has declined to 2.4% given how stabilized the Vantage SDC portfolio is in particular. What that allows us to do is receive one, distributions, generate yield on our investments and gives us the excess free cash flow to redeploy back into growth CapEx into these great assets. Later this year, we expect to exercise our rights to acquire another of one of Vantage’s price data centers in the Santa Clara market. That probably results in about an 8% project uplift in revenue and earnings to the Vantage SDC business aside from the escalators and the continued great lease up that we are seeing. So building scalable, extensible digital infrastructure platforms, where we can continue to deploy capital efficiently, delivering 5% to 6% organic growth, generating strong returns for Colony shareholders is a key priority and as we have demonstrated, one of our core skill sets. Next page. In speaking of skill sets, I’d like to talk about the impact of strategic financings. This is one of our core capabilities at Colony Capital and really demonstrates how we are creating tangible value for shareholders in our digital operating segment. I have spoken to you in the past about our pioneering work in the digital infrastructure securitization space. And on the right side of the page, you can see this on display. We have closed 14 securitizations totaling over $6 billion in value. Many of these are first of their kind transactions, which started many years ago when I was at GTP, where I led the first private towerco ABS and CMBS transactions. These are not easy processes to prepare for and execute, but they can deliver significant impact in results if you put in the work. And putting in the work is critical. Understanding the details, managing the details and making sure that you not only have the correct collateral, but you have the correct control of your fee and making sure you have strong command of your leases and most importantly, controlling all of the key metrics that drive and underpin these cash flows in these businesses. The second part of that is having great relationships with the rating agencies, which we have had a two-decade dialogue with Moody’s, Kroll, Fitch and S&P. And then the third layer to that is having great relationships with our bondholders. Once again, a multi-decade relationship with over 200 bondholders over the last 20 years has created a really unique relationship that’s built on trust, performance and execution. In the case of DataBank and Vantage, in the past year, we have completed two important securitizations totaling $2 billion in total value. Those securitizations have driven down average borrowing cost by around 250 basis points from where they were previously, which creates over $300 million in incremental 5-year cash flows between lower borrowing costs and reduced amortizations. Ultimately, that flows through to you, Colony shareholders. Just these two financings will generate $50 million in incremental 5-year cash flows to Colony and boost our IRRs against original underwriting over 130 basis points, $2 billion, 250 bps, $300 million in cash, $50 million to you and 130 bps and increased IRRs. These are great metrics. This is exactly the kind of incremental value-add that you build returns on and that allows us to compound value for our shareholders over time. Next page. Finally, I’d like to walk you through a key slide here and how we plan to continue to grow our digital operating segment, which is the key growth vector for our business in ‘21, ‘22 and 2023. It starts with the companies we have just discussed, DataBank and Vantage, organic growth of those companies, which we think is realistically mid single-digits, as I mentioned earlier, 4% to 6%, combined with new builds, like CA22, in a market like Santa Clara, should allow us to get around one-third of our 2023 targets with that we own today. That’s the key controlling our destiny and having great platforms. We can continue to grow those assets, grow the cash flows through a proven playbook. Now, the next part of this is really critical. In addition to core organic growth and the new builds that I have just discussed, we expect to grow by adding new platforms and doing additional M&A funded by the $1.5 billion of dry powder that we are in the process of harvesting from our legacy assets. When you make very reasonable assumptions about our ability to deploy that capital in the high-teens to low 20s, borrowing at a 40% to 50% loan-to-value ratio that gets you right in the range of the incremental EBITDA necessary to achieve and exceed our 2023 guidance. Hopefully, we can do better on all fronts. We love under-promising and over-delivering as we said earlier. One of the key contributors here will be continuing to apply the Digital Colony playbook at existing and new digital operating businesses that we plan to acquire over the next couple of years. With that, I would like to conclude our earnings presentation and transition to the Q&A section of the earnings call. Once again, as always, I want to thank you for your time and I want to thank you for your trust. We appreciate your support and we are looking forward to building long-term value for you, our shareholders. Operator, if you could, please initiate the Q&A period. Thank you all.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Randy Binner with B. Riley. Please proceed with your question.
Randy Binner: Okay, great. Good morning. Thank you. I would like to talk about where Marc just ended the $1.5 billion of dry powder. So, just to understand that, that’s basically all of legacy OED and investment management, but does not include CLNC? And then that would be harvested over the course of 2021 and 2022, is that the right way to think of that $1.5 billion?
Jacky Wu: Yes. I think the way you should look at it is on Page 22 of the slide deck, we actually have total dry powder of about $2 billion, what we are saying, Randy, and that would include the CLNC shares as well and certainly where they are trading. And what we are just saying though is we have sensitized it to only deploy $1.5 billion of that in our math for the $125 million of EBITDA to $175 million of EBITDA incrementally.
Marc Ganzi: So, just to give you a little – one layer deeper to that, Randy, what I think Jacky and I are suggesting to you is, we want to have $500 million of incremental firepower to continue to commit to new fund products that are coming down the transom in our digital IM business. So, $1.5 billion dedicated to digital operating, $500 million dedicated to digital IM as we continue to raise capital around new investment management ideas and products.
Randy Binner: Okay, understood. Just maybe a little bit of color on – and I apologize if I am creating feedback on the line, but hopefully you will hear me okay, on the market for selling the legacy assets, obviously, you have done a great job so far and have gotten at or above carrying value. But as you work through what’s in there, is there stuff that’s going to be harder to dispose of when you are going to market with this? Are you talking to multiple parties? I wanted to hear a little bit of kind of texture on how that market is receiving your moves to move away from these legacy items?
Marc Ganzi: Well, I think the market has received them well. What I would tell you is there is a lot of capital today chasing a lot of different opportunities. We have seen a lot of interest from various parties around all facets of our businesses. And as I got here over a year ago and Jacky did as well, we made a promise to shareholders that we would be thoughtful in terms of how we would ultimately realize value for the legacy assets. We would take our time. And we would do them in sequential order. And that’s the playbook that we laid out for you over a year ago, and that’s the playbook that we’ve been able to implement so far. I think the moves that we made in this quarter were important. The internalization of CLNC really gives that business the independence that it needs to continue to execute its plan. And the reason we did that transaction is because we put an independent management team in place that is doing a very good job of executing a playbook actually very similar to ours, which is very focused, very disciplined and about restoring trust with investors and creating a narrative that creates value for shareholders. So once we achieve that level of confidence, it was important to get that management team independent. We got great value for the management contract. The shares are going to trade up, we believe, closer to book. And ultimately, we think that carrying value of those shares is a bit undervalued today. So we’ll take our time. We want to be supportive of CLNC. We like Mike. We like the management team there. And we have the benefit of being patient on that asset. I would say the other two buckets of value that you pointed out, our wellness infrastructure portfolio continues to perform extremely well. I think that’s attributable, Randy, to this current government that sits in Washington, D.C. today understands the importance of health care and understands the importance of health care infrastructure. And so we believe that the support that we’ve gotten from the federal government and the support we are going to get from the federal government has helped turn around this portfolio. And we’re going to continue to see improving metrics across every facet of that business. We have a lot of optimism around health care. We’re in the midst of a strategic review there. We actually really like the business. We like how it performed in the first quarter. And we like what we see so far in the second quarter. So once again, it’s an asset that it’s in the midst of a strategic review. I can tell you, we get many phone calls every day about either a single asset or the whole portfolio. There’s a great deal of interest in life science’s real estate today. I think you’ve heard other investment managers and other real estate funds and other REITs talk about the importance of life science’s infrastructure. And we have one of the biggest and most scalable portfolios in the U.S. So we can afford to be patient and get good value, and I believe we will get good value for those assets. And then on the OE&D assets, we’ve continued to hit our guidance in terms of the disposition of those assets. We had another good quarter. We returned about $250 million of cash back to the balance sheet. We continue to get a number of inbounds on those assets. And we’ve pruned that portfolio by more than 50% in the last year. The velocity is working for us. We’re returning cash. And we’re able to repatriate that cash into higher-growth digital opportunities, as you saw this quarter. The rotation is way ahead of schedule. So I think the playbook that we’ve outlined is one of prudence, thoughtfulness but, most importantly, making sure that we get fair value for these assets. 1.5 years ago, people would call us and offer us, oh we’ll give you $0.50 on the dollar. We just would laugh at them and say, look, we don’t need to do that. We have the financial wherewithal to be patient. And we have a fiduciary responsibility to our investors to make sure that we get fair value.
Jacky Wu: Yes. The only thing I would add, Randy, is that we did move OED, that segment, into discontinued operations. And that’s our reasonable belief that we will sell a substantial majority of that segment at the values that we’ve marked them at through 3/31. And as you can see in our supplemental package that we’ve disclosed this morning, that’s over $1.1 billion. So that’s roughly where we’ve been at for quite some time. So that’s our reasonable belief, we’d dispose of a substantial majority within the next 12 months, and we feel good about it.
Randy Binner: Alright. That’s helpful. And then just one other one, just to understand Slide 14 that talks about G&A streamlining, you initially estimated the $40 million of saves. And then that kind of progression moves from 232 to 151, so kind of like double that like $80 million. Is that – are those numbers comparable, like did you do 80 instead of 40 over the course of this progression or are those different – different measurements?
Jacky Wu: Yes, sure. So if you look at it discontinued operations adds about $46 million of moves out for G&A. So as we dispose of those assets, those will go away. $21 million of it has already been realized. If you look at the CLNC internalization that closed at the beginning of this month as well as the hotels transaction that closed at the end of the first quarter that’s already been realized. And then the rest is the OED segment, so which we’ve moved to held for sale discontinued operations. So, that’s a big piece of it along with the $40 million…
Randy Binner: [Indiscernible]
Jacky Wu: Yes, exactly.
Randy Binner: Okay. Thanks for everything. Appreciate it.
Jacky Wu: Great.
Marc Ganzi: Thank you, Randy.
Operator: Thank you. Our next question comes from the line of Colby Synesael with Cowen. Please proceed with your question.
Colby Synesael: Hey, thank you. Just, I guess, a continuation of some of the questions that you just had. So you moved OED into discontinued operations, and you mentioned that you’re pursuing monetizations. And then Jack, just in response, you mentioned that you think you could sell that within the next 12 months. So I just wanted to confirm, that’s the expectation that you’ll be able to sell all those assets that you just moved to discontinued operations within the next 12 months in terms of time line? And then as it relates to wellness, I think the expectation had been that you would sell that or at least announce a sale at some point this year based on the trajectory of the conversations which you’ve been having. I’m just curious if that’s still the expectation? And the reason I just asked all this is the stock has done pretty well. It seems like the stock is now reflecting more what I described as the carrying value of your various assets. But really just take it to the next level, you really do need to monetize the remaining OED and, as part of that, I guess, also wellness. And then redeploy that capital. So I’m just trying to get a sense of the timeline? And then secondly and separately, I’m curious if you are planning to call your preferreds, particularly G&H. It seems like there would be some pretty meaningful interest rate savings if you are able to do that? Thank you.
Marc Ganzi: So, three awesome questions and three really quick sharp answers for you, first, on OE&D, there is a reason why we’ve moved it into discontinued ops. We can’t go into further detail. You can infer with what you wish. But there is an accelerated time line for divesting of the OE&D assets, and we have a lot of conviction and confidence, Colby, that we’ll be able to execute that this year. So that’s one. And that’s a little bit ahead of where we thought we’d be. We thought OE&D would be perhaps a little bit of a slower burn, and that’s why we built the 90-10 buffer on the AUM rotation. But we’ve had really strong continued success in moving that segment. With respect to wellness, one, the improvement in performance has been good. The combination of government support and getting our health care facilities fully vaccinated and getting new move-ins in this quarter, we’ve seen a significant rebound in performance. So we’re being very thoughtful about how we enter into strategic discussions on that asset. So right now, we’ve not put that into discontinued ops. We are having a strategic review of that asset. And what I can tell you is, the activity is very robust. And we continue to have an intention of monetizing that asset this year. That is the intention. So, all the work and effort that we are putting in place right now from an operations perspective and from a strategic review perspective give us confidence that we’ll be able to get that done. And then lastly, what was your last question? Sorry.
Jacky Wu: On the preferred.
Marc Ganzi: On the preferred, yes, sorry, we agree with you. We are in violent agreement. I think we have a lot of levers that we can pull to get our total weighted average cost of capital down. The classes that you mentioned are roughly about $320 million.
Jacky Wu: $373 million.
Marc Ganzi: $373 million, which we can get done this year. We have a lot of flexibility and a lot of new free cash flow being generated from various aspects of our digital business. So in terms of the free cash flow generation and the earnings that we’re driving from digital, we’re ahead. So that gives us a lot of flexibility on how we can ultimately finance the business. And we believe that we’ll be able to finance this business up here at Parent Co level at a very, very, very much lower cost of capital. So we’re in the process of looking through that. We’re working very hard with our entire finance team and our financial advisers, but you are on the right topic. And I think we can – we’ll dive into that a little bit more in our Investor Day. And you’re going to see some results on this later in the year.
Jacky Wu: Yes. The only thing I’ll just add is through – in our press release, we disclosed liquidity of $667 million. And obviously, we had 2 major transactions that would add on top of that liquidity, about $207 million from both the CLNC managers as well as the [indiscernible] asset sale. So we have got a lot of firepower, where obviously we would work through and transform our revolver facility towards much more of a digitally based revolver. And those – that, along with the preferred redemptions, I would expect there to be more fulsome disclosures over the course of the next couple of months.
Colby Synesael: Thank you.
Operator: Our next question comes from the line of Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thanks very much. Can you give me your updated thoughts on the digital landscape?
Marc Ganzi: Yes, sure. I would say the landscape continues to be very robust. Let me start out, Jade, from...
Jade Rahmani: [Indiscernible] to ask you.
Jacky Wu: Jade, I think you are…
Marc Ganzi: Jade, you’re cutting out, buddy, sorry. Jade? So, Jade let me try to answer your question as you get your audio reconnected. The digital landscape at the highest level, we continue to be encouraged by CapEx spending by our customers. So last year, we had projected about a $487 billion CapEx spend. This year, we’re projecting that number increases to about $495 billion to $496 billion across fiber, small cells, towers and data centers. The leasing results coming out of the portfolio companies in the first quarter were very strong. We gave you granular detail around Vantage Stabilized Co and DataBank, both of which exceeded their leasing forecast. In fact, DataBank exceeded their leasing forecast in the first quarter by 157%, largely driven by edge compute lease loads with some of the webscalers. So we’re seeing this across all of our businesses, great demand, great organic growth. And we believe that will continue as we build out 5G, as we migrate workloads to the edge, IoT networks continue to proliferate and densify and then, last but not least, cloud adaptation, where we’re seeing a pronounced amount of CapEx spending. CapEx spending by the cloud players, Jade, will go up about 14% to 15% between 2020 and 2021 in our hyperscale leasing business vantage, which, obviously, the balance sheet has exposure to through Vantage Stabilized Co. We had a fantastic first quarter of leasing. Vantage Europe, Vantage U.S.A. and Vantage Yieldco, all had record-breaking leasing results for the first quarter, well above our estimates. So as long as our customers continue to stay healthy and they continue to invest in their infrastructure, we believe the entire ecosystem will perform quite well. So that really is around organic growth in greenfield. I would say in brownfield, we continue to see pricing at sort of all-time highs in private market and public market transactions. Everybody wants to be invested in digital infrastructure. We get that. So what we’ve tried to do is steer clear of overheated auctions. And so in that basis, what we did in the quarter is we focused on proprietary deal flow. And I outlined some of those proprietary deals that we did in the quarter. And we’re really happy with the things that we are doing. I think from a brownfield greenfield mix we see where we are devoting our energy today is probably about 35% to 40% in greenfield and 60% to 65% in brownfield. And that’s one of the great pivots that we have at Colony Capital today. We can deploy capital into greenfield opportunities where we secure land, we secure entitlements and we enter into long-term leases with our web scale customers, our mobile telephony customers or some of the telcos that we provide wholesale dark fiber for. So that’s the uniqueness of our platform is we have the ability to respond to brownfield. But at the same time, we can pivot, like we’ve done, for example, at DataBank and Vantage and engage in really unique and proprietary and accretive greenfield opportunities as well.
Operator: Thank you. Our next question comes from the line of Ric Prentiss with Raymond James. Please proceed with your question.
Ric Prentiss: Hey, good morning, everybody.
Marc Ganzi: Good morning, Ric.
Ric Prentiss: Marc, we are getting a lot of questions these days on managing international risk. When you think about achieving the returns you guys are targeting with a global digital infrastructure company, we tell people it’s really probably too expensive on probably possible to hedge operations. But how do you get comfortable managing international operations to then also achieve the total growth in like real cash returns instead of FX-adjusted type returns?
Marc Ganzi: Yes. Thanks, Ric. It’s a difficult question. It’s something we’ve been doing for over 25 years when we entered Mexico back in the late 1990s. And I’ve had a 3-decade track record of investing in foreign markets and particularly also in emerging markets as well. And my experience on hedging, Ric, is that it’s expensive. We’ve done limited hedging in the past. In a former life when I was at Deutsche Bank, we hedged all of our investments down in Latin America and it was about a 600 to 700 basis point punishment to returns. So you have to weigh hedging against, ultimately, where you think the FX curve is going to go in those countries. You have to look at political risk. You have to look at regulatory risk. And then you have to ultimately have strong investment-grade customers or investment-grade-like customers that you can enter into long-term contracts where you get CPI-like adjustments to the hedge against inflation and to hedge against steeper borrowing costs. So what you’ll see, for example, just to give you an example, Ric. We had a very, very strong quarter in our Brazilian tower business. Our year-over-year growth in that business was about 22.7%. So that would be well north of what our U.S. towerco achieved and what our European towercos have achieved. Now how did we get there? Well, we got there because our escalators were about 9.5% because we have strong master lease agreements that protect us against inflation and protect us against some of the currency movements that you just suggested. So by – you and I have had this dialogue, Ric, for almost 30 years. If you’ve got strong paper with your customers, you can really debug a lot of the challenges with this business, so, long-term contracts, good escalators. And then of course buying the right asset certainly helps. We had 13% core organic growth in leasing at Highline in this quarter. So the combination of a strong escalator plus strong lease-up, buying good assets and working with strong customers, really puts you in a good place. And sometimes, Ric, you have got to say no to some geographies. And we’ve done that. For example, we’ve stayed out of a place – We’ve stayed out of India. We could have done a lot of activity in India, but we made a conscious decision that we didn’t like the macro setup there. We also didn’t like the system by which you get fee and how you ultimately take title of property in India is based on a system that’s not consistent with how we underwrite deals. We have stayed out of places like Argentina, by example. That sometimes looks sexy and seductive because you can buy stuff at a cheap price, but when the currency is devaluing at 200% to 300% per year, that’s not a good setup for investors. So a lot of this is making sure that you have a great framework. And so what we’ve put in place, Ric, for the last two decades is we have an investment framework. And what we do is we look very much, as you know, I have a high attention to detail on asset quality, quality of contracts, quality of the customer, quality of the fee, making sure we’ve gotten a place like Brazil, we have all the permits. These are things – these details ultimately matter. And then you’ve got to have the right business plan. You got to have great management teams that have zero tolerance for FC – for being, of course, congruent with our FCPA training of all of our senior executives and our employees. So this stuff takes a lot of energy. We’ve traditionally have not hedged. What we have done, though, is put the right mechanisms in place to make sure that part of the capital structure is financed in local currency. We get paid in local currency, but we get escalators. And we think that’s been the right architecture for us. In fact, our foreign investments have performed exceptionally well this year, largely because we’ve been very cautious, very selective and we picked the right management teams, the right assets in the right geographies.
Ric Prentiss: Makes sense. One other question for you, in the past, you’ve also sold some minority stakes in some of your different units. You obviously saw transaction announced by a peer in the international infrastructure space with Caisse de dépôt. How do you think about when is it right to sell minority interest? And what kind of appetite is there to bring in even more capital for you to buy majority stakes?
Marc Ganzi: So, we sort of created that cookbook. And we did the first type transaction like that with Caisse de dépôt many years ago with Vertical Bridge and they are a great partner and we applaud AMT. It’s – they’re going to be very happy with that partner. So congratulations to my friend Tom Bartlett. Look, it’s – making those decisions is tough. We just completed a transaction, by example, with ExteNet, working closely with John Hancock to sell a minority stake in that business. And ultimately for us, when we do sell a minority stake, Ric, we’re trying to achieve a couple of objectives. One, we want to have the right long-term partner that wants to stay in these businesses, not just for 3 years or 5 years, but we’re looking to form long-term, 10, 20-year capital, so we can sit across the table from our customers and say, look, we’re going to be there for you when we sign a 20-year lease commitment because we have long-term capital that can ultimately align with your interest around building your network long term. And the customers want to know that. They want to know that they’ve got a long-term partner in infrastructure. And I think that provides a lot of comfort for our customers. Secondly, as some of our capital sources mature and they need return of capital, this is a great way to do that. So it’s a good way for us. Some of the original partners and companies like ExteNet and Vertical Bridge, they do want to get returns and we want to get capital back to them so they can mark those investments and get to the right returns. But more importantly, when we bring a new partner in, we want to make sure that they’ve got deep pockets, like a Caisse de dépôt, like a John Hancock. You saw the move that we made with Vantage Stabilized Data Centers last year, Ric, where we worked hand-in-hand with NPS, the largest pension fund in Korea. CBRE Caledon, which is a great partner of ours out of Toronto, everyone knows C. Richard Ellis and in some of our other pension fund clients. We had 12 amazing data centers. We use our balance sheet. We match our balance sheet with long-term pension capital that understood the value of those 13-, 14-, 15-year contracts with investment-grade cloud players and, most importantly, could achieve not only return of capital to our private LPs, but we kept that asset – we kept those assets in the family. They’re producing a 6% current cash yield, which is great. We’re getting management fees and carry on that third-party capital. So when you do find the right third-party source of capital, what it allows us to do, Ric, is it allows us to build a lot of capital, form really good ideas like Vantage Stabilized Co or ExteNet or Vertical Bridge. And investors know when they work with us, they’re going to see a lot of opportunity for co-investment. And that’s the key buzzword today in investment management, is people that come into our funds like DCP II are getting the opportunity to also co-invest and go deeper into opportunities like an ExteNet, like a Vertical Bridge, like a Vantage. These are great logos, great management teams. And so having that access to capital, that long-term access to capital, is part of our business model going forward. And we congratulate American Tower for taking advantage of that dynamic as well. It just makes a lot of sense, Ric.
Ric Prentiss: Great. Thanks for the insights. Stay well. And we’ll see you virtually at NAREIT and live in Park city this summer.
Marc Ganzi: Looking forward to that live piece, Ric. Thank you.
Operator: Our next question is a follow-up from Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thank you and apologize for the audio issue earlier. Just noting the DataBank securitization, are there other financings that you expect to execute that could be near-term accretive? And could you put any color around what kind of strategies those would be? Would that be securitization or there is other financing tools available?
Jacky Wu: There are a whole host of financing tools available, but what we like to do is execute on ABS facilities, frankly. I mean, that’s the great part about our digital operating REIT type of businesses. They are all long-term leases with fixed escalations, with good, solid core organic growth rates. So, all great tenants for our low-coupon asset-backed securities market. And that, frankly, does also include, if you think about it, our investment management fees and that type of structure as well for the Colony Capital corporate side. So – and we will have more fulsome disclosures on strategic financing opportunities over the course of the next couple of – next couple of months, sorry.
Marc Ganzi: And I think what’s really the subtext to this is, one other point to this is, we now have cash flows that are a lot more long-term and a lot more predictable. I think one of the things that investors caught on to quickly was that not only in our digital operating business we have long-term leases with investment-grade customers, but we now have long-term funds with 10-, 11-, 12-year fund lives, where we’re taking in income streams from investment-grade pension funds and sovereign wealth funds. And so the stability of those cash flows in IM are a lot like signing a tower lease, Jacky, if you think about it, 5-year term, 10-year term, investment-grade counterparty. And bringing Moody’s and Fitch and S&P along for that journey, so that they understand this new digitally converged REIT and where we get those cash flows, that’s an education process. We’ve started with that education process just like we did when we taught them about cell tower securitizations in 2004, when we did small cell securitizations, the first cell tower securitization in Mexico, the first hyperscale data center securitization 3 years ago at Vantage and now, of course, our first edge securitization with DataBank. So having this dialogue and having the trust of the rating agencies and being a long time issuer is a big strategic weapon for us.
Jade Rahmani: Thanks very much.
Operator: Ladies and gentlemen, at this time, there are no further questions. I would like to turn the floor back to management for closing comments.
Marc Ganzi: Well, look, thank you everyone. It’s been a great quarter. I want to thank a couple of people as we end our call today. I want to thank our hospitality team. The sort of unsung heroes of that and David Schwarz and [indiscernible], the whole team just did a great, great job there, delivering a great result for our shareholders. I want to thank our friends at Cerberus and at Highgate, they were great partners in getting that transaction done, it was not easy. I also want to thank the entire team at CLNC. And those employees that have gone from Colony over to CLNC, we’ll miss you. Appreciate the hard work. We’re going to be your biggest fans from the sidelines and we’ve really enjoyed that journey. And then I will just close in saying, we are absolutely making the progress that we thought we’d make and perhaps even slightly ahead of plan. And I think what you can expect from us over the coming years, we’re going to continue to form new capital around great ideas. We’re very excited about what we’re doing in our digital investment management platform. And we’re really looking forward to hosting everybody for our first Investor Day. Severin White has done an incredible job being our voice and corporate communications and our outreach within public investors. So we’re very excited to share our deeper thoughts, and we hope that all of you will sign up and join us for Investor Day. We’re going to have not only the senior leadership team, but we’re going to have many members of our ecosystem of companies, a lot of our great CEOs, presenting around the digital infrastructure world, deeper insights into what’s happening in towers and small cells, fiber, data centers, everything that’s happening in that ecosystem. It will give you the investor a chance to have a little bit of a closer look at what we’re doing and then also, I’d close in saying, unpacking how we’re building those great digital earnings. So we look forward to seeing all of you at Investor Day. And once again, thank you for your continued support and trust. We’re looking forward to a great year here at Colony Capital. Take care. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.